Operator: Good morning, ladies and gentlemen, and welcome to Genworth's Financial Third Quarter 2023 Earnings Conference Call. My name is Lisa, and I will be your coordinator today. [Operator Instructions]. I would now like to turn the presentation over to Brian Johnson, Senior Vice President of Financial Planning and Analysis. Please go ahead.
Unidentified Company Representative: Thank you, and good morning. Welcome to Genworth's Third Quarter 2023 Earnings Call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth's website investor.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open up the call for a question-and-answer period. In addition to our speakers, Brian Haendiges, President of our U.S. Life Insurance business; and Kelly Saltzgaber, Chief Investment Officer, will also be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now I'll turn the call over to our President and CEO, Tom McInerney.
Thomas McInerney: Thank you, Brian. Good morning, everyone, and thank you for joining our third quarter earnings call. Genworth continued to make progress against our strategic priorities in the third quarter as we deliver long-term growth and drive shareholder value. In the third quarter, Genworth reported net income of $29 million or $0.06 per diluted share and adjusted operating income of $42 million or $0.09 per diluted share. Enact again, had a very strong quarter with adjusted operating income of $134 million to Genworth. We are very pleased with Enact continued strong operating performance and capital levels. LTC had an adjusted operating loss of $71 million, driven by a liability remeasurement loss under LDTI. Investors can refer to Slide 20 in our slide presentation and our commentary from last quarter for more details on how differences in our actual to expected experience drive quarterly volatility in this line item. On a statutory accounting basis, pretax income for the U.S. Life Insurance companies is estimated at $30 million, driven by $21 million of pretax earnings in LTC. Complete statutory results for our U.S. Life Insurance companies will be available when we file our third quarter statutory statements later this month. As a reminder, we believe investors should evaluate LTC results under both U.S. GAAP and U.S. statutory accounting to have a more complete understanding of LTC results. Turning to our 3 strategic priorities. We continue to improve the financial condition of our legacy LTC business primarily through our multiyear rate action plan or MYRAP, the most effective tool we have to bring our legacy LTC insurance portfolio to breakeven on a go-forward basis. We achieved a total of $83 million of gross incremental premium approved in the third quarter resulting in a total of $227 million of premium approved year-to-date. This brings our cumulative progress to approximately $25 billion and approvals on a net present value basis since 2012. We are very pleased with our progress year-to-date and now expect our total gross incremental premium improved for the full year to be at least $275 million. Turning to the next strategic priority. We continue to leverage Genworth's LTC expertise to develop innovative agent care solutions. CareScout Services has made significant progress on the build-out of our quality care network of senior care providers with an initial launch in Texas. Texas is a large LTC insurance market, and Genworth has approximately 43,000 policyholders there. We now have CareScout quality network coverage for approximately 50% of the age 65-plus Texas population with providers that have met our quality credentialing standards and agreed to negotiate at discount rates. We are pleased to share that policyholders have begun to make their first matches with their network providers in Texas. With the discount of rates negotiated, Genworth policyholders will be able to extend their available benefits and our preliminary projections indicate that Genworth will realize claim savings over time of between $1 billion to $1.5 billion, driving further risk mitigation for the legacy LTC block. CareScout Services offers an attractive value proposition for both policyholders and providers. For providers, join the quality network offers preferred access to qualified care seekers, recognition for quality care and opportunities to strengthen their person-centered care experience. We have strong momentum to expand the network beyond Texas with care providers so far across the country. We are building a regional sales organization and have hired 3 of 6 regional Vice Presidents in the Southwest, Southeast and Mid-Atlantic regions. The field sales organization will be responsible for building the CareScout quality network in the regions and will drive new sales of CareScout LTC insurance products when they are introduced later in 2024. We plan to expand CareScout's customer base beyond Genworth policyholders to include other LTC insurance carriers, policyholders and eventually will offer CareScout services and LTC insurance products to all Americans. As we have said before, we believe a successful transformation of the U.S. LTC market will address both financing and services for our customers and ultimately, will help to reduce the likelihood of people needing care and less in the care they need. To enhance the success of CareScout, we are engaging with our state regulators and working with a few highly rated reinsurers to partner with us as we bring new LTC products to the market. We will continue to provide quarterly updates to investors as we move forward in 2024. Moving to our third strategic priority, capital management. We continue to allocate excess cash from Enact to drive Genworth's long-term shareholder value. We returned significant capital to shareholders via share repurchases and have repurchased a total of approximately $334 million of shares at an average price of $5.24 per share since the program's inception in May 2022. Including the expansion to the program we announced July 31, we have approximately $366 million of outstanding repurchase authority. Cash flows from Enact have also enabled us to invest in long-term growth in CareScout, and we continue to expect approximately $30 million of capital contributions to CareScout this year. Genworth received $26 million of capital from Enact in the third quarter. Since Enact's IPO, Genworth has received approximately $493 million in capital from Enact through October 2023. We expect our 81.6% ownership of Enact to be the primary source of free cash flow moving forward. We recently increased the flexibility we have in our capital management program through a bondholder consent solicitation. The transaction, which Jerome will discuss in more detail, resulted in an amendment to a restrictive covenant that limited our ability to repurchase our 2066 subordinated notes. This amendment gives us more optionality to make opportunistic holding company debt repurchases while prioritizing growth investments and share repurchases. As we have said before, it is important to remember our commitment to managing the U.S. Life companies on a stand-alone basis. They operate as a closed system, leveraging existing reserves and capital, current premiums as well as future new premiums under the LTC multiyear rate action plan to cover liabilities. We have no plans to put additional capital into the U.S. Life Insurance companies and given the long tail of our long-term care insurance policies with peak claim year still over a decade away, we also do not expect capital returns from the U.S. Life Insurance companies. Looking ahead, Genworth's enterprise value and future potential are rooted in our 81.6% ownership stake in Enact and our strategy to grow CareScout into a profitable comprehensive provider of long-term care services, insurance and other solutions, leveraging the intellectual property, data expertise and experience we have accumulated over 5 decades. In closing, I'm very pleased with Enact's outstanding performance and our strong execution against our 3 strategic priorities year-to-date. We are working from a strong financial foundation with a significantly improved balance sheet, low annual debt service obligations and increased flexibility in how we allocate cash flows from Enact. With that, I'll turn the call over to Jerome.
Jerome Upton: Thank you, Tom, and good morning, everyone. I'm pleased with the ongoing value creation delivered by Enact, progress on in-force rate actions as well as our progress on capital optimization and improving financial flexibility. I'll first discuss the quarterly results and drivers in more detail and then provide a preview of our fourth quarter assumption review process. I'll also give an update on our capital position and investment portfolio. In the third quarter, Genworth delivered net income of $29 million or $0.06 per diluted share and adjusted operating income of $42 million or $0.09 per diluted share. These results were primarily driven by Enact, which delivered $134 million in adjusted operating income to Genworth, reflecting ongoing solid business fundamentals and favorable loss performance. Enact results are detailed on Slide 6. Primary insurance in force increased 8% year-over-year to a record $262 billion driven by new insurance written and continued elevated persistency. Slide 7 shows Enact had a favorable $55 million reserve release, which drove a loss ratio of 7%. The reserve release primarily reflects favorable cure performance on 2022 and earlier delinquencies. Both Enact's prior quarter and prior year results included favorable net reserve releases as well totaling $63 million and $80 million, respectively. Enact has a strong estimated PMIER sufficiency ratio of 162%, approximately $2 billion above PMIERs requirements. Enact's quarterly dividend payment of $0.16 per share generated proceeds of $21 million to Genworth in September. Enact recently announced this Board approved a special cash dividend of $113 million payable in December and has reiterated its commitment to return a total of approximately $300 million to its shareholders this year. Based on our 81.6% ownership position, we continue to expect to receive $245 million from Enact through its quarterly dividends, share repurchases and special dividend for the full year. Sustainable cash flows from Enact will continue to fuel Genworth's strategic initiatives and capital optimization going forward. Turning to long-term care insurance. Starting on Slide 8, we continue to reduce the tail risk on our legacy LTC block with progress on our multiyear rate action plan and legal settlements. As of the end of the quarter, we have achieved in-force rate actions of approximately $25 billion on a net present value basis since 2012 and seen a policyholder response rate of 49% to reduce benefits. Slides 9 and 10 show more details on the filings approved in recent quarter as well as positive trend we've seen in policyholder benefit reduction elections, both of which demonstrate the progress we're making on our strategy. In addition to the multiyear rate action plan, recent legal settlements have further reduced LTC risk. In connection with these settlements, many policyholders have elected to reduce their benefits in order to reduce or eliminate their premiums. These are good outcomes for policyholders who are able to maintain meaningful coverage and for Genworth as we are able to reduce our tail risk on these policies and further protect our claims paying ability. Long-term care insurance GAAP results are covered on Slide 11. Our LTC segment reported an adjusted operating loss of $71 million in the third quarter compared to an adjusted operating loss of $43 million in the prior quarter and adjusted operating income of $26 million in the prior year. There is significant volatility in our quarterly earnings under GAAP accounting as we measure actual to expected quarterly experience on our approximately $42 billion liability for future policy benefits at the locked-in discount rate. The third quarter loss was driven by a liability remeasurement loss of $104 million principally on our unprofitable or capped cohorts. This reflects differences in our actual to expected experience during the quarter related to the timing of legal settlement impacts as well as higher claims and lower terminations. As a reminder, in the fourth quarter of 2022, our assumption updates included an approximately $300 million favorable update largely related to the PCS I and II settlement. Despite the quarterly variation and experience, we expect the settlement to be very favorable and materially complete at the end of 2023. Actual to expected differences will continue to impact the quarterly P&L as liability remeasurement is performed quarterly at a granular cohort level under LDTI accounting. However, it's important to remember these quarterly variations do not impact cash flows the long-term economics or the way we manage the LTC business. Now turning to our Life and Annuity segment, GAAP results on Slide 12. The segment reported an adjusted operating loss of $3 million, driven by an adjusted operating loss in life insurance of $25 million, partially offset by adjusted operating income of $17 million from fixed annuities and $5 million from variable annuities. In life insurance, mortality was favorable versus the prior year and DAC amortization expense was slightly lower due to lower lapses and block runoff. However, results for the quarter also included an unfavorable impact from the voluntary recapture of previously ceded reinsurance. Fixed Annuities results were up versus the prior quarter and prior year due to favorable fixed payout annuity mortality, partially offset by lower net spreads. Variable annuities were down versus the prior quarter due to unfavorable mortality and down versus the prior year due to lower fee income. Rounding out the third quarter GAAP results, our Corporate and other segment reported an adjusted operating loss of $18 million, which included corporate interest expense and our investment in CareScout. For the full year, we continue to expect to invest about $30 million in CareScout as we scale the services business. I'm now going to discuss statutory results for our U.S. Life Insurance companies. As we have said before, we believe statutory results better represent the underlying performance of the life companies and the way we manage the business. Slide 13 illustrates the continued benefit the in-force rate actions and legal settlements have on our LTC business, as shown through the $1.1 billion benefit the statutory income on a pretax basis recognized year-to-date. Overall, statutory earnings in LTC were $88 million through the first 9 months of the year, which are down significantly from the $315 million during the same period of 2022, driven by higher claims as the block ages, lower variable investment income and block runoff, partially offset by growth in the impact of in-force rate actions and legal settlements. Our primary focus for the LTC block remains to continue pursuing premium increases and reducing risk through benefit reductions, the combination of which gets us closer to economic breakeven. Slide 14 shows that paid claims are increasing as the blocks age and temporary trends through the pandemic subside. Paid claims will continue to increase as peak claim years on our largest blocks, Choice I and II are over a decade away.  This trend is expected and incorporated in our long-term assumptions and reserve methodology. We will continue to monitor new claims growth and benefit utilization trends as experience emerges. Slide 15 shows our third quarter total pretax statutory income for the U.S. Life Insurance companies. This is estimated at $30 million, driven by pretax earnings of $21 million in LTC as a result of continued benefits from in-force rate actions and the related settlements as well as in fixed annuities from favorable mortality. This was partially offset by a pretax loss in the life insurance products, including a $45 million negative impact from recaptured previously ceded reinsurance. This was primarily related to the Scottish Re recapture, whereby we wrote off assets and liabilities associated with the reinsurance through the P&L as required under statutory accounting. However, this did not significantly impact GLIC's capital position as the non-admitted and unauthorized reinsurance were previously captured in surplus and subsequently released. This had an immaterial impact on our GAAP results. The consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, is estimated at 291% at the end of September. GLIC's consolidated balance sheet remains sound with capital and surplus as of September 30, estimated at $3.2 billion. Our final statutory results will be available on our investor website with our third quarter filings later this month. Looking ahead, I'd like to discuss our approach to this year's annual assumption review, which will be completed in the fourth quarter. Although our reviews are not complete, we have been monitoring emerging trends and wanted to provide an update on our observations. Under GAAP accounting, the impact of LTC assumption updates for both healthy and disabled lives will be reflected as remeasurement gains or losses on the income statement with key differences based on cohorts. For unprofitable capped cohorts, any assumption changes from current best estimates would be reported immediately in the P&L. For profitable uncapped cohorts, any changes would primarily impact the net premium ratio and therefore, would have a more muted impact on results in the quarter. We will update assumptions for the Choice II legal settlement in the fourth quarter. Because the Choice II settlement primarily impacts uncapped cohorts, any changes would have a muted income statement impact in the fourth quarter. This is in contrast to the large favorable impact I mentioned in the fourth quarter of 2022 when we updated assumptions largely for the PCS I and II settlement, which primarily impacted capped cohorts. While GAAP assumption updates are accounted for differently and capped versus uncapped cohorts, both legal settlements are expected to significantly reduce Genworth's LTC tail risk and therefore, be a net positive over the long term. Other long-term assumptions that we are reviewing for LTC include lapses, benefit utilization, mortality and in-force rate actions. We're also evaluating potential short-term impacts emerging after the pandemic and aligning near-term projections with recent experience. While work is ongoing, the LTC assumption updates could be negative in the aggregate as experience has been mixed. For our life and annuity products, we expect to review lapse assumptions on universal life policies with secondary guarantees or ULSG, and as well as mortality assumptions, including mortality improvement. At approximately $4 billion, our ULSG block is relatively small compared to others in the industry and is a closed block that has not issued new business since 2016. Therefore, any impact would likely be smaller than what we've seen from others in the industry with larger blocks. We will assess near-term trends together with our review of LTC mortality and emerging post pandemic trends as we continue to gather data to better understand the long-term implications of COVID. Again, work is ongoing, but the assumption updates for life and annuities, we are considering an aggregate could pressure our results in the fourth quarter. In parallel with the product assumption reviews, we will also complete statutory cash flow testing for our life insurance companies in the fourth quarter. As a reminder, there are significant differences in the way assumption updates are reflected on a statutory basis compared to GAAP, including the concepts of regular unlocking of assumptions and cohorting under LDTI which do not exist under statutory accounting. Another key difference is that under GAAP changes to all LTC assumptions are reflected in income, while on the statutory basis, generally only changes to our best estimate disabled life reserve assumptions are reflected in income. Assumptions impacting healthy lives are included in our cash flow testing margin review, which only impacts income if the margin falls below 0. While our process is not yet complete and significant work remains, our early assessment is that GLIC's margin should remain positive. Certain of our ULSG products are subject to additional reserves on a statutory basis using the regulatory prescribed reinvestment rate from July 2022 to June 2023. Given the increasing rates during this period, we currently anticipate a favorable benefit from the reinvestment rate. From a statutory income perspective, we believe the reinvestment rate benefit will help offset potential negative assumption updates. We will discuss the results of our assumption reviews and statutory cash flow testing on our fourth quarter earnings call. Next, moving to our investment portfolio. We remain confident in our conservative positioning and believe we have the right strategy to remain resilient and navigate a challenging macro environment. Our portfolio holdings are summarized on Slide 16. The high interest rate environment continues to allow us to invest at attractive new money rates, which will benefit the portfolio over time. Average new money rates in the third quarter, including investments in alternatives were approximately 6.5% to 7%. The majority of our assets remain in investment-grade fixed maturities that are listed as available for sale. We generally buy and hold the bonds to support the U.S. Life Insurance companies' liabilities with unrealized gains and losses impacting equity through changes in other comprehensive income. Because the liabilities are very long duration, especially for LTC, we have very limited liquidity risk. Our commercial real estate holdings are concentrated in high-quality investment-grade assets and continue to perform very well. In addition, we've continued to reduce our exposure to small- and medium-sized regional banks since the end of the first quarter. Turning to the holding company on Slide 17. We continue to return significant capital to shareholders via share repurchases in the third quarter, repurchasing 80 million at an average price of $5.69 per share and another 10 million in the month of October. We ended the third quarter with $232 million of cash and liquid assets. We received $26 million of capital from Enact and $59 million from intercompany tax payments in the quarter. We expect to receive a total of approximately $190 million to $210 million of net intercompany tax payments for the year. We expect to fully utilize our available foreign tax credits this year dependent on the taxable income generated by our subsidiaries. We expect to become a federal taxpayer this year. Tom described our capital allocation strategy, and I'll reiterate that our top priorities remain to invest in long-term growth through CareScout services, return cash to shareholders through our expanded share repurchase program went below intrinsic value and opportunistically pay down debt when attractive to us. We're pleased with the value created for shareholders through our share repurchase program. Through October, we've completed most of the initial $350 million program that began in May 2022, and we expect to complete the remaining amount by the end of this year, subject to our share price relative to our assessment of intrinsic value. The expansion to the program that we announced last quarter allows us to continue to return capital to shareholders as we head into 2024. We will also consider opportunistically retiring debt when it's attractive relative to our other uses of capital. After reaching our holding company target last September, we strive to maintain a debt-to-capital ratio of 25% or below attributing no equity value to U.S. Life Insurance companies. As of the third quarter, our debt-to-capital ratio was below this target, which we view as optimal given our low debt service relative to our size.  Through the recent bondholder consent solicitation, which closed in October, we were able to amend a restrictive covenant that prevented us from paying down our 2066 hybrid, floating rate notes unless the balance on the 2034s was below $100 million. Under the amended covenant, we can now repay, redeem or repurchase $2,000 of principal amount of 2066 notes for each $1,000 principal amount of 2034 debt repaid. In connection with this transaction, we repurchased $13.5 million principal amount of the 2034 notes at 90% of par value. This gives us access to repurchase $27 million of the 2066 notes at market value. We are pleased with the additional flexibility created by the amendment. After growth investments and share buybacks, we view opportunistic debt paydown as another available lever to drive shareholder value by purchasing the debt below par and further reducing Genworth's annual debt service obligations over time. In closing, we are delivering on our strategic priorities, while proactively managing our liabilities and risk. The multiyear rate action plan and the additional benefit from the 3 LTC legal settlements are enhancing our ability to honor policyholder commitments and stabilize the legacy LTC block. We see tremendous value in Enact as evidenced by its strong capital returns and our ability to grow CareScout over time and in our ability to drive shareholder value through capital returns. Now let's open up the line for questions.
Operator: [Operator Instructions]. And we'll move to our first question. George with Ardent Financial as our first question.
Unidentified Analyst: Yes. So I have like two questions that I wanted to ask. First one is around that [indiscernible] concern, but it seems like you've addressed that. So another question that I wanted to ask was around the negative [indiscernible] at year-end. I think the balance was around $659 million as you're saying that you see this finance you can really have dividend or money being used for some of your life insurance companies. So I wanted to ask how far -- where is that balance at the moment? And are you addressing any -- can you expect to see any changes around like the [indiscernible] from those companies intention?
Thomas McInerney: So you were breaking up a little bit, so I'm not sure I got all of the question, but -- so our plan at this point for excess cash is to invest in our CareScout business to grow that, and we're making good progress on that and to buy back shares. At this point, we do not have -- we don't pay a regular dividend nor do we anticipate doing that in the near future given that when we talk to our shareholders, the overwhelming majority of them would prefer that we return excess cash and share repurchases versus dividends. So that's why we've chosen to return capital through the buyback program.
Unidentified Analyst: Okay. And then my second question was just around the negative unassigned surplus. Last year, year end it was around , you have an update in terms of like where is [indiscernible]?
Jerome Upton: Gordon, this is Jerome Upton. Thank you for the question. Our unassigned surplus in our GLIC, which is our consolidating life insurance company, it's not positive, it's negative, and it's roughly around $700 million. And as you probably know, when you have negative unassigned surplus, it's very difficult to get any type of dividend out of those regulated entities. And I think I would just highlight for you in Tom's prepared remarks, he actually indicated that we would not put capital in the U.S. Life business nor extract capital out of the U.S. Life business. So the numbers that I have are the unassigned surplus is actually negative $700 million.
Operator: [Operator Instructions]. Ladies and gentlemen, as there are no further questions, I will now turn the call back over to Mr. McInerney for closing comments.
Thomas McInerney: Thank you very much, Lisa, and thanks to all of you for joining the call today. In closing, we are very pleased with Enact's strong operating performance, our progress with CareScout, the progress we've made on Genworth's 3 strategic priorities, and we are confident in our long-term strategy. I want to thank all of our investors and others on the call for your interest and support to Genworth and we'll see you next quarter. And with that, I'll turn the call back over to Lisa to close the call.
Operator: Ladies and gentlemen, this concludes Genworth Financial's third quarter conference call. Thank you for your participation. At this time, the call will end.